Ian Webber: Hello, everybody. Welcome to our third quarter 2019 earnings conference call. The slides that accompany today's presentation are available on our website at www.globalshiplease.com. As usual slides 1 and 2 remind you that today's call may include forward-looking statements that are based on current expectations and assumptions and are by their very nature inherently uncertain and outside of our control. Actual results may differ materially from these forward-looking statements due to many factors, including those described in the Safe Harbor section of the slide presentation. We also draw your attention to the Risk Factors section of our most recent Annual Report on Form 20-F, which is for 2018 and was filed with the SEC on March 29, 2019. You can obtain this file via our website or via the SEC's. All of our statements are qualified by these and other disclosures in our reports filed with the SEC. We don't want to take any duty to update forward-looking statements. For reconciliations of the non-GAAP financial measures, to which we will refer during this call, to the most directly comparable measures calculated and presented in accordance with GAAP, please refer to the earnings release that we issued this morning, which is also available on our website. I'm joined today by our Executive Chairman, George Youroukos; our Chief Financial Officer, Tassos Psaropoulos; and our Chief Commercial Officer, Tom Lister. George will provide opening remarks about GSL and our strategy, and then, Tom, Tassos, and I will take you through the quarterly results, financials and the market environment. After our prepared remarks, we would be delighted to take your questions. Turning now to Slide 3, I'll now pass the call to George.
George Youroukos: Thank you, Ian. Good morning ladies and gentlemen. I'm pleased to provide you with an update on Global Ship Lease and the extensive progress that we have made so far this year in unlocking our true value. Before we dive into the detail, allow me to very briefly introduce the company to anyone who may be joining us for the first time following our recent highly successful equity offering.  GSL owns a fleet of 41 container ships and has contracted to purchase another two, which we have included in today's announcement. We lease out, or charter as we call it in our industry, our ships to operators, who have a business to carry container cargo on behalf of importers and exporters. All of our ships are in the mid-size and smaller classes, essentially from 2,000 to 11,000 TEU or containers as we call them, of capacity. We do not own the smaller ships, which are deployed on niche regional business or the biggest ships which are essentially dependent on trade out of China but focus on service the trade lanes that carry over 70% of global container trade and which typically grow more reliably and more quickly than the big East-West trades, which you tend to read about in the newspapers.  So our ships have negligible involvement in the Trans-Pacific trade to the U.S., which incidentally continues to grow despite concerns of tariffs and trade war. The supply of mid-sized and smaller vessels is now structurally short following many years of minimal or zero new building order. Investment has been focused mainly on the larger ships now 23,000 TEU to achieve unit cost efficiencies but which due to physical and trade limitations cannot compete with the smaller cousins. The shortage of supply has led to substantial increases in daily rates. Tom will speak more about these dynamics later in the call.  Our ships are well specified mainly with best-in-class capacity to carry refrigerated containers, which is premium rate of cargo and thus they can command a charter rate premium. Our eco fleet is substantially more fuel efficient than the market average, an average that will only become more important to us and more importantly to our customers post IMO 2020 emission controls world, effective January 1, 2020 when the vast majority of container ships will burn more expensive low sulphur fuel to reduce emissions. Incidentally, fuel cost is for the account of our customers, not us.  We have a portfolio of time charter contracts which provides $778 million of contracted revenue spread over an average of 2.6 years, providing downside protection and a staggered maturity profile that offers us measured exposure to a strengthening market. The fact that the market is strengthening might surprise you, given prevailing sentiment on world trade but it is all about supply and demand in our industry. Our customers are well diversified mix of the world's top liner companies such as Maersk, MSC, CMA CGM. We have one of the best management teams in the business with a prudent philosophy and proven track record. This and our best-in-class ship management and commercial platform ensures that we can achieve consistent operational excellence at a low cost, efficiently execute innovative and value creative upgrades to our vessels and move swiftly to seize vessel acquisition and chartering opportunities. Complementing this has been our success in strengthening our balance sheet with debt refinancing and most recently our successful equity raise.  In the upper right of the page you can see a breakdown of our shareholders’ base, with private equity firm Kelso holding the largest stake, a legacy of their investment in Poseidon containers with which GSL matched this time last year, and the Board and management owning a combined 11.7% aligning the Board and management fully with shareholders. The bottom right shows our updated capital structure following our recent equity offering.  On the next slide number four, which summarizes GSL investment proposition. First, we are massively undervalued. Our stock trades at a significant discount both to charter-attached net asset value and also based on the EV to EBITDA multiple, where we trade approximately 2 times less than the other public container ship leasing peers, given that there is a strong upside potential from even just a normalization of our market valuation.  Second, our fleet provides great earning potential as we're focused on the fleet segments that are those that benefit from the strongest long-term supply and demand fundamentals. The order book of new vessels in this segment represents only 2.6% of the current standing fleet. That growth from new building is of only around 1% a year. Furthermore, over 20% of 80% of GSL’s fleet is in segments with no order book whatsoever. No order book, despite continued global demand growth which is forecast to be 2.5% in 2019 and 3.7% in 2020. Scrapping of existing ships is up with scrapping in the year-to-date exceeding total scrapping in 2018. On top of that, the IMO 2020 emission control regulations are expected to reduce effective vessel supply. Ships slowed down to maximize fuel efficiency in order to use less of the complaint low sulphur fuel, which is expected to cost significantly more than today's standard higher sulphur fuel.  In addition, our fleet has strong commercial advantages. A third consists of vessels with best-in-class specifications and capabilities. Half of our fleet have best-in-class capacity for current premium rated refrigerated containers. Over 70% of our fleet is in the post-Panamax segment that have seen charter rates more than double from the levels in Q4 2018 a year ago. We're well-positioned to provide our customers with highly competitive slot costs, the unit cost of transporting a single container being a function of fuel cost, so fuel efficiency is key and charter rate. Slot cost is simply most important metric for liner companies when selecting vessels and our ships offer the lowest of that. We're in a position to benefit from the cascade where larger ships displace smaller ships in the perpetual quest for unit cost efficiency in a growing industry, rather than being a victim of it. Third, while we offer great earnings potential, we are at the same time prudent. We picture a balanced contracting strategy looking at extensive downside protection for the long, while also retains the opportunity to renew some charters at higher rates in improving markets. Our $778 million of contracted revenue over an average remain in term of 2.6 years, serves as a strong foundation, and we're further capitalizing on our fleet of highly marketable vessels in undersupplied class. Fourth, we manage our balance sheet conservatively and always look to optimize our capital structure. We continue to delever having reduced our debt by more than $37 million during the first nine months of the year, with a further US$43 million to be paid down by year-end. Furthermore, we have recently successfully refinanced the vast majority of our medium-term debt to improve our forward visibility. Finally, we have received and completed an opportunistic equity offering providing net proceeds of approximately $51 million. Fifth, we have strong and supportive sponsors, leading institutions in both finance and the container shipping industry whose interest are directly aligned with our common shareholders. Sixth, we have a proven platform for both opportunistic acquisitions of ships and larger scale fleet acquisitions, having completed the transformative measure that more than doubled our fleet and tripped our net asset value just one year ago and we maintain a disciplined approach to generating shareholder value. In recent months, we have grown the fleet by purchasing five ships in two highly accretive transactions, the most recent of which announced today, we will cover shortly. With that, I will hand over to Ian.
Ian Webber: George, thanks you. Let's turn to Slide 5, where you can see our charter portfolio. There is a lot of data on this slide, so I'll highlight some of the key points. The bars in dark blue are those charters that we've agreed in 2019 year-to-date. As you can see, we've been very busy and we have great deals to showcase in terms of downside protection and value locked in, which contributes to our extensive contract cover, $778 million spread over on average as George says, 2.6 years. This gives us some estimated 99% of our EBITDA for 2019 covered and 88% for 2020 with significant coverage thereafter. Many of our charters have multiple years remaining, particularly those charters with the highest day rates. At the same time, we’ve deliberately kept some of our recent charter renewals short so that we have an opportunity to re-fix at higher rates in what we believe to be a rising market. Now moving on to Slide 6, this shows details of our fleet. This includes our most recent divisions. In the red box, you can see the ships which fall into the post-Panamax classes, which is the upper end of the mid-sized and smaller vessel class. These have been in particular high demand and day rates have more than doubled since late last year, late 2018. With many eco vessels that burn 20 to 30 tons of fuel less per day than their non-eco sisters, ships with best-in-class high reefer capacity and ships with onboard cranes to enable access to a wider range of ports around the world, our fleet is flexible, highly specified, fuel efficient and is able to offer low slot costs, low unit costs for our customers.  Moving on to Slide 7, for our Q3 2019 results and recent commercial activity. For the third quarter, our operating revenue was just shy of $66 million. Our net income was almost $10 million and our adjusted EBITDA was almost $40 million, all up significantly from the prior periods due mainly to the strategic combination with Poseidon that we completed last November, but also to vessel additions, continued success in chartering at improved rates and in reducing operating costs through the year. Our utilization for the quarter at 94.3% reflects 168 days of off-hire for the reefer upgrade and regular dry-docking at four vessels that we talked about before, as well as for two regulatory dry-dockings only.  On Slide 8 looks at recent commercial activity. We've agreed a number of extensions on attractive new charters in the quarter taking advantage of the strong markets for mid-size post-Panamax vessels, which brings our contracted revenue to the $778 million figure that we mentioned. And our average TEU weighted forward charter cover of 2.6 years.  As George alluded to earlier, we announced today that we've agreed to purchase two 6,650 TEU containerships at an aggregate price, which represents only a small premium, approximately $1.5 million per vessel to their scrap value, so low risk. They're both on charter, one till later Q1 next year and the other through mid-Q3 next year and these charters are expected to deliver on aggregate of approximately $2.8 million of adjusted EBITDA, broadly equivalent to the premium we're paying over scrap value. In addition to the strong downside cover, we believe there is compelling upside value potential for these two ships and thus we're creating equity value which strengthens both our financing and bond refinancing alternatives. Importantly, these are low slot cost vessels in highly in-demand post-Panamax segment which has seen charter rates more than double since the end of 2018.  On timing, we expect to receive one ship in December this year and the other in January next year. We expect the combination of supportive fundamentals, supply demand and IMO 2020 implementation to provide upside on both asset values and charter rates for these ships. This along with potential upside from enhancement vessels -- for the vessels themselves, we believe that we can make through these ships minimal CapEx and the very limited downside to scrap value, we believe will improve our position as we pursue a refinancing of our bond. In addition to a busy period on the commercial front, as George mentioned, we've been very active in opportunistically strengthening our balance sheet. Slide 9 shows our progress in enhancing the balance sheet and lowering our cost of capital. First, with much improved forward visibility from new charters at attractive rates, our improved financial position has allowed us to successfully refinance $268 million of commercial bank debt, extending most of our maturities that otherwise fell due in late 2020 into late 2024 whilst reducing the cost of that debt from L plus 324 on average to L plus 3. We also released three vessels from the collateral package that are now unencumbered thus increasing our balance sheet flexibility. Second, on the 1st of October, we completed the equity offering, the common equity offering, raising net proceeds of approximately $51 million. The offering was upsized to the maximum, including full utilization of the Green Shoe. And the stock has consistently traded above the offering price. In addition to the underwriters, B. Riley taking $15 million stake for their own account, GSL management personally invested $1.2 million in the offering. The proceeds support to our objective, our next strategic ambition to refinance our expensive old GSL 9.875% senior secured notes. This is a clear strategic priority, as well as to support accretive acquisitions that we will only undertake if we believe they enhance our refinancing prospects. The offering, more than trebled public float and we’ve subsequently seen our average trading volume increase fourfold. Our market capital has also increased $129 million at yesterday's close, or $225 million on a fully converted basis. I'll now ask Tom Lister, our Chief Commercial Officer to provide an overview of the market environment.
Tom Lister: Thanks, Ian. The big industry picture is captured on Slide 11. Essentially point one, this is an industry in which demand has grown every year since we began about 60 years ago except one, 2009, during the depths of the global financial crisis. As a general rule, containerized cargo volumes grow faster than GDP. You can see 20 or so years of demand growth and GDP growth in the chart at bottom left. Two, paradoxically negative sentiment and trade tensions have been a good thing at least for the mid-sized and smaller containership classes, both are done by GSL, and I'll explain why later. Three, this is really a supply story, idle capacity is minimal, scrapping of marginal ships is increasing, and most importantly, the order book is under control. This is the chart at bottom right, order book to fleet ratio is down from 60% back in 2007 to just 10.6% today. Point four, things are about to get better with an industry wide regulatory change, IMO 2020, which will be implemented from January 1 of next year. IMO 2020 is focused on reducing sulphur emissions and is expected to drive fuel costs up and operating speeds down, triggering a further reduction in effective supply. Just to illustrate, reducing the operating speed of the global fleet by just one naut -- one nautical mile per hour would reduce effective supply by approximately 6.7%. Okay, Slide 12. This slide looks at demand. The main takeaways of the supply growth is slowing while demand growth is firming. Demand is expected to grow by 2.5% in 2019 and 3.7% next year in 2020. Second point is that Trans-Pacific trades get through the headlines, thanks to the trade dispute between the U.S. and China. But China-U.S. trade actually makes up only 6.7% of the global volume pie. More interestingly, cargo substitution, in other words cargo being imported by the U.S. from other Asian countries rather than from China has grown faster than cargo flows from China itself have shrunk. So like everyone else we would be delighted by a constructive outcome between the U.S. and China. In the meantime, trade tensions have actually stimulated trade and further stimulating demand for mid-sized and smaller ships.  But perhaps the most important take away from this slide is that 70% of global container volumes are on intermediate and intraregional trades like in for Asia. Collectively, we refer to all of these as the non-Mainland trades, where volume growth is strongest and where our ships tend to be deployed. Slide 13 underlines this point.  As you can see, most trades are served by 2,000 to 10,000 TEU ships, GSL sized ships in other words and these are operationally flexible and liquid assets. Slides 14 and 15 illustrate this point more graphically. Slide 14 shows where the big ships trade, mainly the East-West arterial routes while Slide 15 shows where mid-sized and smaller ships trade, which is pretty much everywhere else or indeed pretty much everywhere.  Slide 16 really pushed home the supply side story. Idle capacity is limited. It's sort of 3.2% as at September 30th, of which a significant proportion, perhaps half is made up of ships being retrofitted for scrubbers. Scrapping activity has increased, although this is trading up a little bit as earnings in the sector are strengthening. And you can see from the bottom chart that fleet growth in GSL’s focused sized classes have been minimal or even negative over the last few years, while the order book pipeline through 2022 or so is also tiny, zero in fact, as George mentioned, for the sizes representing over 80% of our fleet capacity.  Now turning to Slide 17, you can see that shipyard capacity is down and ordering discipline, which is driven by liner operation of mega alliances taking a joined up approach to capacity management, is up. This is great news and minimizes the risk of supply side overshoot going forward. Add to this an overlay of negative sentiment and a degree of uncertainty on the future propulsion technologies, fuels, and you get a very cautious approach to ordering new ships and speculative ordering, which has been the bane of the industry in the past is a non-starter. So, as I hinted at the outset, negative sentiment is in fact positive for forward supply fundamentals. And even if you did want to order ship the lead time to do so would be a couple of years.  Slide 18 through 21 provide benchmarking data that help with the quality and commercial positioning of the GSL fleets in context.  So let's turn to Slide 18. Very little capital has flown into the sector both for mid-sized and smaller ships, since traditional funding sources, the German banks and private investors dried up in the global financial crisis in 2008. So, these size classes are old, they are underinvested and are undersupplied and GSL ships as you can see from the age profile chart on this slide, benchmark well. Our ships are also built at quality shipyards, which is a proxy for asset build quality and marketability. As a rule of thumb, ships built at Mainland Chinese yards are considered to be poor quality than the Korean, Japanese, Taiwanese or European peers. And as you can see from Slide 19 none of GSL vessels are built in China. All are built at quality yards. Slide 20 looks at the capacity of our ships carry refrigerated cargo known as reefer cargo in the industry. Carriage of reefer cargo is lucrative for the liner operators and is also one of the fastest growing cargo segments. So, this means that ships with high reefer capacity are attractive to our client base. As you can see from the chart, GSL ships benchmark well on this front. In fact, a number of them are best-in-class in their respective size segments. You may have heard discussion of high fuel efficiency or eco tonnage in the industry. And in indeed nine of our ships representing around 30% of our fleet by TEU capacity are latest generation eco ships. However eco ships are the exception rather than the rule. As you can see from the chart on Slide 21, non-eco or pre-eco ships are the norm for the mid-sized and smaller ship segments. This means two things. First, eco ships can earn a premium in the charter market which we’ve proven out with our own eco tonnage. And second, non-eco ships remains highly relevant in these sizes, particularly if they’re towards the upper end of the mid-sized size spectrum, post-Panamax ships specifically. These are precisely low unit cost, or low slot cost ships on which we're focused and have grown our fleet with our acquisitions this year. Right, Slide 22, this is really the proof of the pudding. We’ve explained that the industry fundamentals are firming and that another positive catalyst will be coming in the shape of IMO 2020. On this slide, you can see what it is already doing to earnings. Charter rates for post-Panamax ships have more than doubled during 2019 so far. And as the larger vessel sizes are selling out, rate uplifts are beginning to filter down to the smaller ship size categories, including Panamax.  So to recap, demand continues to grow, idle capacity is minimal, scrapping is increasing, fleet growth in our segments has been negligible or negative, the order book through 2022 is tiny, IMO 2020 is an industry-wide step change and positive catalyst and the GSL fleet benchmarks well against its peer group. So with that, I'll now pass the call to Tassos, our CFO.
Tassos Psaropoulos: Thank you very much, Tom. Getting now to the financial section on slides 24, 25 and 26, you will find the company's income statement, balance sheet and cash flow for the third quarter. Let me point out some key items for this quarter. We generated revenue of $65.9 million and a net income for common stockholders of $9.9 million for the third quarter 2019 versus $35.9 million revenue and $3.9 million net income for the same quarter in 2018. The $30 million increase in revenue is mainly due to the additional of the 19 Poseidon vessels and the new acquired vessel GSL Eleni. In this quarter, there were 168 days of scheduled off-hire for dry-dockings mainly for work to upgrade the reefer capacity of five vessels, although where possible we also undertook the regulatory work. 32 idle days as vessels transition between charterers and six days of unscheduled off-hire resulting in an overall utilization of 94.3%.  As mentioned earlier, this increased off-hire in the quarter primary reflects our decision to undertake enhancements of the reefer capacity of our ships in order to enforce the best-in-class specifications that command premium rates in the market.  Finally, of note, the average operating expenses per ownership day which includes management fees has reduced by 3.1% from the $6,211 in the nine months ended September 30, 2018 to $6,016 for the same period in 2019 as a result of the lower OpEx cost per day of the Poseidon fleet and the transition of the legacy GSL fleet to its new ship manager. For the third quarter itself daily OpEx is down also 3.1% to below $6,000 per day at $5,966 from $6,154 in the same quarter in 2018.  Also, as on every quarter, please note that in the appendix we have included update information on dry-dockings and upgrade work to assist you in modeling capitalized expenses and off-hire for the year together with our usual illustrative adjusted EBITDA calculator. The latter includes with two new vessels and can be used to see how different rate scenarios flow through our adjusted EBITDA. To assist, we have also provided 10 year and 15 year historic rates by vessel size.  For example, if we apply the 10 year historical average rates to be open days of 2020, deducting market standard of 5% for commissions, we will generate adjusted EBITDA of about $176 million. I should emphasize now that this is not a forecast.  I will now like to turn the call back to George for closing remarks. 
George Youroukos : Thank you, Tassos. To conclude, I would like to summarize the themes of our company, which is usually undervalued. Our stock trades at a significant discount to both charter adjusted net asset value and also to the EV to EBITDA multiple of our peers. If we traded at the same approximate multiple of our peers, which is around 8 times, the stock would be around $19. This is a supply story. A highly specified fleet positioned in a segment with little or no order book provides great earnings potential in the current supply constrained environment, which we expect will further tighten due to IMO 2020. We are prudent. Having locked in significant forward charter cover at elevated rates, $340 million of adjusted EBITDA is associated with the new charters we have put in place since the merger to provide tangible shareholder value, whilst also providing downside protection.  We manage our balance sheet conservatively and always look to optimize our capital structure and to further strengthen our credit profile, which is an important part of our strategy as evidenced by our recent refinancing and equity raise. We are delivering growth which is accretive to both earnings and our credit profile. So, that's what this all boils down to, is that, we are at a point in the container cycle with great upside potential and we have a great company to take advantage of it, which is demonstrated by a significant accomplishments in the last 12 months. We remain 100% focused on seizing the value-creative opportunities still ahead of us.  With that, I would like to open our presentations to questions. Thank you.
Operator: [Operator Instructions]. First question comes from Joseph Farricielli with Cantor Fitzgerald. Please proceed with your question.
Joseph Farricielli : Hey, guys. Thanks for taking the call. Just a couple of questions on the balance sheet to make sure I understand what’s happening. I see that the $38.5 million of the New Junior loan it was outstanding at 9/30, I thought, I’d recalled in a prior press release that it wasn't drawn down. Did you draw those two tranches at different times?
George Youroukos: I will ask Tassos to answer that question.
Tassos Psaropoulos: Sure. The junior that we mentioned here is actually an amendment as we have mentioned in the press release. What I mean is that we already have in place this junior loan in this facility and we have just extended in order to max -- which was actually the main change in this facility to max the new senior syndicate loan.
Joseph Farricielli: Okay. When you... 
Ian Webber: It's a bit confusing. There are two figures of $268 million here. There was a new facility of $268 million, of which we drew down $230 million and refinanced $230 million and the other $38 million of the new facility still remains undrawn. Separately, as Tassos just said, separately, we renegotiated the terms of another $38 million loan pushing out its maturity. So, total refinancing was something like $300 million, of which $38 million we have not drawn.
Joseph Farricielli: Okay. Because I'm looking on Slide 28 and it showed outstanding balance at 9/30 and I guess that $38.5 million under the new junior loan at the bottom, that actually is undrawn.
Ian Webber: Correct.
Tassos Psaropoulos: It's not the $38.5 million that it has not withdrawn, this has been drawn. If you see on the note two, you see that the new senior secured loan has two tranches, tranche A of $230 million that has been drawn and another $38 million which they have been committed but not drawn yet.
Joseph Farricielli: Thank you. Okay. I didn't see the note. And then my next question is, just want to make sure I understand mechanics. After you made the mandatory optional redemption on the 9.875% notes, where -- let's just assume no one takes it, let’s face it, the bonds trading above the 102 price, so I'm assuming no holder would tender into that. Where does the money go? Does it go to the Citi facility or that new term loan facility?
Ian Webber: It goes to the Citi facility. So if -- you're right, bondholders do not accept the $20 million, then we use I think it’s $14.8 million to fully repay the Citi facility, which is the amount that will be outstanding at the end. Well, it is outstanding because we just paid down another $10 million of scheduled amortization on that. The schedule Page 28 shows $25 million outstanding, less the scheduled $10 million gives you $15 million. So we would -- which is the accurately $14.8 million. So we would use $14.8 million of the $20 million to pay down Citi and the balance of $5.2 million goes to bondholders mandatorily.
Joseph Farricielli : Okay, so that $5.2 million, bondholders don't have an option. Is it pro rata that you apply it?
Ian Webber: Yes.
Joseph Farricielli : And then sticking on the 9.875%, as you can imagine a lot of people are focused on it. And as we've discussed on prior calls it's expensive debt, what are your thoughts, what needs to happen so that you're in a position to take those out?
Ian Webber: We're working on it as we said in the prepared remarks and we've made no secret of it when we met investors buy-side, sell-side, credit equity, that it is our near term priority to refinance this instrument which is legacy GSL. It was the only debt that was available to us in 2014 and then renewed in 2017 with a replacement issue. Now we have a broader range of debt financing available to us as we're 3 times the size. We need to put together bits of the jigsaw puzzle. We obviously want to get on with it because we think that we can save significant amount of interest costs and time is money, but we want to get it right. So this is more than likely a 2020 happening, although we're working on it with all priority.
Joseph Farricielli: And so I guess my point was, there is no -- no credit facilities prevent the refinancing, I think is what I'm hearing. And then final, final question is on the dividend, once the Citi and the 9.875% are removed, is that when you will be able to start paying a dividend again?
Ian Webber: Well, technically we can pay a dividend today. We've just raised $50 million of equity under the terms of the indenture. That immediately creates $50 million of dividend capacity. But we wouldn't raise $50 million from common equity and then pay it back. We look to achieve the refinancing of the bonds that will create incremental cash flow. It'll push out the maturity of our debt. We would anticipate recognizing the importance of the dividend on the common. And we do want to access the common equity markets in due course to provide further growth capital and to be able to develop the business and dividend is a priority for us. But we will only introduce one when we believe it's sustainable.
Operator: Thank you. [Operator instructions]. And our next question comes from Howard Blum with UBS. Please proceed with your question.
Howard Blum : In the press release, you highlighted in September, you entered into an agreement with certain affiliates of Kelso & Company, whereby they agreed to amend their option to convert C Preferred into Class A common. Could you give us more specifics about that amendment?
Ian Webber: Sure. This was in response to some investors wanting clarity on exactly what would happen to the Series C Preferred, when the bond was repaid. Prior to this amendment, Kelso had an option to convert the C Preferred into common. After this amendment, they have an obligation to convert the C Preferred into common when the indenture -- when the bond is repaid. It's as simple as that. What was an option is now an obligation.
Howard Blum : Thank you. Do you know, if the shares are being distributed at Kelso to the limited partners or are they being held by Kelso in the fund?
Ian Webber: Well, the C Preferred shares are held by two Kelso affiliates which I think is part of that public disclosure. Beyond that, we can't comment. We don't know.
Operator: Thank you. And I'm not showing any further questions at this time. I will now turn the call over to Ian Webber for any closing remarks.
Ian Webber: Thank you very much. Thank you for listening to us. Thank you for your questions. We look forward to providing you an update on the company on Q4, which will be in 2020. Thank you.